Operator: Good day and thank you for standing by. Welcome to the Doma 2023 Second Quarter Conference Call. [Operator Instructions] Please be advised that today's conference is being recorded. And I would now like to hand the conference over to your speaker today, Carlee Herzog, Head of Investor Relations. Please go ahead.
Carlee Herzog: Thank you, operator. Good afternoon everyone and thank you for joining Doma's second quarter 2023 earnings conference call. Earlier today, Doma issued a press release announcing its second quarter results, which is also available at investor.doma.com. Leading today's discussion will be Doma's Founder and Chief Executive Officer, Max Simkoff; and Chief Financial Officer, Mike Smith. Following management's prepared remarks, we will open up the call to questions. Before we begin, I would like to remind you that our discussion will contain predictions, expectations, forward-looking statements and other information about our business that is based on management's current expectations as of the date of the presentation. Forward-looking statements include, but are not limited to Doma's expectations or predictions of financial and business performance, market conditions, competitive position and industry outlook. Forward-looking statements are subject to risks, uncertainties and other factors that could cause our actual results to differ materially from historical results and/or from our forecast, including those set forth in Doma's most recently filed annual report on Form 10-K and subsequent filings with the SEC. For more information, please refer to the risks, uncertainties and other factors discussed in Doma's most recently filed annual report on Form 10-K and other SEC filings. All cautionary statements that we make during this call are applicable to any forward-looking statements we make wherever they appear. You should carefully consider the risks and uncertainties and other factors discussed in Doma's SEC filings. Do not place undue reliance on forward-looking statements as Doma is under no obligation and expressly disclaims any responsibility for updating, altering or otherwise revising any forward-looking statements, whether as a result of new information, future events or otherwise, except as required by law. Additionally, during this conference call, we will also refer to non-GAAP financial measures, including retained premiums and fees, adjusted gross profit, adjusted EBITDA and the other measures described in our earnings release. Our GAAP results and a description of our non-GAAP measures with a full reconciliation to GAAP can be found in the second quarter 2023 earnings release, which has been furnished to the SEC and is available on our Investor website. And with that, I'll turn the call over to Max Simkoff, CEO of Doma.
Maxwell Simkoff: Thank you Carlee. Good afternoon, everyone, and thank you for joining our second quarter call. Over the last several quarters, we have discussed our progress towards solidifying a more scalable and mission-driven go-forward strategy. And today, we are unveiling several core components of that strategy. Going forward, Doma will focus on licensing our proven and patented instant underwriting technology directly to the largest mortgage market participants in the country, while our underwriter will continue to serve traditional channels through our independent agents. Our initial focus will center on activating our direct technology licensure model via several of the largest mortgage originators and secondary mortgage purchasers so that they can utilize our patented underwriting technologies platform to instantly and safely ensure a clear title for their customers earlier in the mortgage origination process, while also reducing a significant amount of title insurance and closing fees paid by the consumers on these transactions. Importantly, we are now in discussions with a number of these parties regarding a commercial framework so that we can bring this model to life at a crucial time when housing affordability is at record lows. Our goals in implementing our new strategy in this way are to not only drive some of the largest single reductions in mortgage-related fees to end consumers that our industry has ever seen, but also to enable Doma to capture a much larger part of the overall market for mortgage transactions with a much better solution and at a much faster speed than our previous go-to-market focus. This initial endeavor is just one of several we intend to pursue and is subject to final contractual agreement and any required regulatory approvals. As part of our go-forward strategy and in parallel with the distribution of our technology on a license basis, our title insurance underwriting business and our independent agents remain of critical importance, and will continue to be a core part not only of our go-forward business, but also in offering title insurance to cover consumers across transactions where our directly licensed technology has helped prioritized work. We believe that there will always be a significant need for traditional title insurance across a significant number of transactions and that many of these transactions can also benefit from our technology being used to identify where key risks need to be more closely examined as part of a traditional underwriting process. While the last 18 months have proved to be incredibly challenging to Doma as we navigated through a rapidly declining mortgage market and skyrocketing interest rates, the reconfiguration of our business model to best drive our vision gives us new found confidence that our proven technology is now best positioned to drive the massive impact that we've always known we can achieve. We'll discuss three key themes on this call today. First, I will provide an update on our path to reaching adjusted EBITDA profitability this year and the steps we are diligently taking to achieve that goal during a continued period of both high mortgage rates and low mortgage volume and as we begin implementing our new strategy. Second, I will provide more details around our new go-forward strategy for the business and how our considerable technology advantage will ensure we fulfill our mission, while benefiting all stakeholders in the mortgage transaction. Third, I will outline the much leaner, more streamlined company structure we've recently implemented, which includes the divestiture of our local retail title divisions and which we believe better positions us to achieve success with our new strategy. I will then turn the call over to our CFO, Mike Smith, who'll discuss our financial results in more detail. Regarding our first theme, we remained highly focused on our goal of reaching adjusted EBITDA profitability by the end of this year and we continue to make steady progress towards that goal. Our adjusted EBITDA loss was $14 million in Q2 compared to a loss of $22 million in Q1 of this year. And we expect to see a further significant improvement in our adjusted EBITDA loss from Q2 to Q3 of this year. We continue to realize substantial cost savings from our prior workforce actions implemented at the end of 2022 with expected annualized compensation cost savings of $85 million to $90 million. We also anticipate further annualized compensation cost savings of $10 million to $12 million related to additional workforce reduction actions recently implemented as part of moving to our new strategy, resulting in a leaner and more focused organization. Additionally, the sale of our local operations is expected to directly result in an adjusted EBITDA benefit of approximately $2 million in Q3 when compared to Q2. And lastly, we expect additional savings as we continue to further streamline expenses, inclusive of occupancy costs, software licensing and other operating expenses. As we transition to offering our technology on a licensed basis, we believe there is a massive growth opportunity ahead of us. So while we remain cautiously optimistic that achieving adjusted EBITDA profitability by year-end is achievable, and we are still working tirelessly to get there. The continually challenging macroenvironment and transformation underway at the company could push the time line modestly. But ultimately, this transformation will better position us to achieve sustainable profitability. This brings me to the second key theme of our earnings call, our new strategy. When we started the company nearly 7 years ago, our vision was to utilize cutting-edge machine learning and predictive analytics to replace the time-consuming, expensive and highly manual underwriting process utilized by large traditional title insurers. We have now proven that our technology works as we have instantly underwritten title insurance for over 86,000 loans, partnering with some of the largest lenders in the country. We have helped our lender partners in turn, reduced mortgage closing time lines by over 15% and delivered upwards of 20% cost savings on title and settlement fees to consumers. Just as important as the lightning fast benefits that our solution provides to lenders is the fact that our observed claims and loss performance on instantly underwritten transactions have come in at a similar level as the traditional manual underwriting methods that it replaces. In other words, we've proven that we can offer an instant, affordable-alternatives to manually underwritten title insurance for mortgage transactions with no additional risk. Over the last 5 years, while we've demonstrated the value and safety of our technology, we have also learned that some methods of distributing this technology are much more affected than others. While we've driven success in our enterprise channel by selling directly to large lenders who could utilize our instant underwritten title insurance product in the refinanced transactions, we also experienced challenges in executing the scale of change management necessary for our technology to get expediently rolled out across the local retail office footprint we acquired from Lennar in early 2019. At the same time, we've heard a growing course of demand from the secondary mortgage market to price and predict title risk more efficiently to enable faster speed of execution in mortgage origination and to significantly lower fees for consumers at a time where housing affordability is near crisis levels. With our new strategy, we will harness the learnings we've gained in our distribution efforts to now offer our technology on a licensed basis directly to key players in the mortgage ecosystem. In addition to supercharging our distribution, we believe that the unit economics for this business model will be significantly better than our previous model. As both the software company focused on the widespread distribution of our unique technology and a fiercely competitive underwriter with a vast network of independent agents, we believe that we've never been more strongly positioned to deliver on our core mission of making home ownership more affordable. As we work forward on that mission, our initial focus will be activating our licensing model for several of the largest originators and secondary buyers in the mortgage market. Among this group, there are a few specific institutions who have been long-time partners and collaborators with us since the company was founded, and as such, have been key contributors in our development of this new model. These partners are working collaboratively with us to finalize the best way to jointly deliver Doma's technology to their customers so that we may together deliver solutions that protect lenders from title risk, while providing significant additional cost savings to borrowers at a time when they need it the most. We are discussing commercial terms with several of these collaborators and any final arrangements are subject to final contractual agreement and any required regulatory approvals. With these significant mortgage industry players across both the primary and secondary mortgage market, we share a desire and a sense of urgency to reduce closing costs for borrowers by a wide margin compared to traditional non-technology-based solutions. We believe that bringing these solutions to life is a testament to our incredible technology and product organization, which has been working tirelessly over the past year to prepare Doma's instant underwriting technology to be directly licensed and integrated with the core platforms and technology frameworks utilized both by the largest secondary mortgage participants and their customers so that we not only enable a single point of distribution to nearly all of the nation's largest lenders, but also to ensure the title risk decisioning can happen right upfront when lenders are deciding whether to underwrite the loan versus traditionally toward the end of the loan closing process. This brings me to the third key theme of our earnings call. As our go-forward strategy will require us to focus on developing and supporting an externally available software platform as well as driving the success of our underwriting business via our innovative technology solutions, we have transitioned our organizational structure to be much leaner with a more people-light footprint. Part of this organizational change is because our narrower focus means that our local division is no longer core to our go-forward strategy. We stated in our last earnings call that our local leadership team had finalized and was implementing a plan to ensure that the local division accelerates the company's path to profitability. As you may have seen in recent announcements, we have executed against this strategic plan via the sale of our local business through multiple transactions. We have now sold all of our local operations to several suitors for total gross price in excess of $35 million prior to legal advisor and other fees, with a substantial portion linked to performance and retention-based earn-outs. The majority of the proceeds received were used to pay down existing debt. These executed transactions resulted in a transfer of approximately 300 employees and 60 local branches and operations to new leadership and organizations. I am confident that we have found optimal new homes for our local business and former colleagues and that the business will thrive under their new leadership. We will continue to facilitate a smooth transition for our employers, employees and customers. I want to thank our local team for their hard work. I am incredibly grateful for your contributions over the years. Post the divestiture of our local division as well as the launch of our new technology business, we expect to provide information for our two business divisions going forward: underwriting; and enterprise technology. Our Underwriting division will include all revenue and expenses generated by the business of underwriting title insurance for independent agents. Our Enterprise Technology division will include all revenue and expenses resulting from the continuation of our existing enterprise distribution activities, while we continue to grow and develop as well as results from our expanded efforts to license our technology via innovative distribution channels. In closing, we believe our strength and focus on deploying our instant underwriting technology on a broader scale through both licensing our software and working with our independent agent community will enable us to meaningfully grow the business and deliver an enormous impact on the housing affordability crisis. Looking ahead, we are focused on generating sustainable and profitable growth and building enterprise value for our stakeholders. We look forward to updating you on our progress throughout the year. I will now pass the call over to our CFO, Mike Smith, to provide you with further details on our recent financial performance. Mike?
Michael Smith: Thank you, Max, and good afternoon, everyone. Today, I'll be providing an overview of Doma's second quarter financial results. Please refer to our earnings release filed earlier today for full details of the quarter. Unless otherwise specified, all of the comparisons cited in my remarks are quarter-over-quarter or sequential comparisons to the first quarter of this year. The latest MBA Mortgage Finance Forecast is projecting that the 30-year fixed mortgage rate will remain above 6% in the third quarter of 2023 and will improve at 5.9% by the end of the year. As we've stated in the past, these elevated rates will likely continue to put pressure on refinance and purchase order volumes industry-wide for the foreseeable future. As we noted on our prior earnings call, during the first quarter, we did see an encouraging strengthening of both our open order pipeline as well as our conversion rates from open to close orders, which, as expected, created tailwinds for both our closed order and RP&F numbers in the second quarter. Looking ahead, and as we focus on reporting on our Underwriting segment, given the strength observed in the homebuilder portion of our underwriting business, we expect continued improvement in RP&F performance when excluding our local direct agent channel. Our primary measure of unit economics is adjusted gross profit, which was $9 million in the second quarter of 2023 and which compares to $4 million in the first quarter of 2023. Adjusted gross profit as a percentage of RP&F was 29% in the second quarter compared to 18% in the first quarter of this year. Adjusted EBITDA, our main profitability measure, was a negative $14 million compared to negative $22 million in Q1 2023. Our Q2 adjusted EBITDA improvement was primarily related to our continued cost reduction savings from previously disclosed workforce reduction plans and company-wide efforts to reduce operating spend. Following the implementation of our new strategy, we've taken further actions to rationalize our expenses over the last several months, including the sale of our local division as well as further related headcount reductions as we focus on our core businesses. Moving on to our top line performance in the second quarter. We reported revenue on a GAAP basis of $89 million, up 19% quarter-over-quarter. As a reminder, GAAP revenue includes the portion of third-party agent premiums that Doma does not retain. So we focus on Doma's retained premiums and fees or RP&F as an important metric, which excludes the premium related -- retained by third-party agents. We believe this is a much better representation of Doma's underlying top line performance. With this in mind, RP&F was $31 million in the second quarter, up 22% quarter-over-quarter, driven by a 26% increase in purchase closed orders. Local RP&F comprised 46% of total RP&F in the second quarter. Purchase closed orders made up 70% of our direct residential volume and 89% of our direct residential retained premiums and fees, which compared to 61% and 85% in the first quarter of 2023, respectively. Underwriting RP&F within our third-party agent channel increased 17% in the second quarter compared to the first quarter, a trend we anticipate will continue next quarter and through the remainder of the year if the homebuilder market remains strong and the interest rate environment shows stability or improves. One additional important event to note, during the quarter, we executed a reverse stock split to comply with the New York Stock Exchange minimum share price listing standard. As of June 30, we have 13.4 million shares outstanding. As previously mentioned, looking ahead, we expect to see continued positive momentum in our underwriting business and continually decreasing costs driven by our most recent cost reduction actions. As Max mentioned, we look forward to executing on our new strategy. And we remain highly focused on achieving our goal of becoming adjusted EBITDA profitable this year. I'll now pass the call back to Max for closing remarks before we open the call to questions.
Maxwell Simkoff: Thanks, Mike, and thanks, everyone, for joining us on our call today. Our critical mission has remained focused on making the home buying process better, faster and more affordable. Looking ahead, the deliberate actions that we have taken will not only transform the business and position us for long-term success in any macroenvironment, but will enable us to fulfill our mission and make a true impact at a time when homeowners are facing unprecedented affordability challenges. I'm incredibly proud of our team and the excellent progress we have made in building a more resilient and scalable business, while staying true to who we are at our core and what our vision has been since day one. We look forward to updating everyone with our progress on our next earnings call. Operator, we're ready for questions.
Operator: [Operator Instructions] Our first question comes from Tom White with D.A. Davidson and Company. Please proceed with your question.
Thomas White: Great. Thank you for taking my question. Max, I guess, interesting stuff on kind of the -- exploring the transition. I guess, moving ahead with this transition towards incorporating the licensing model would appear to kind of make the business kind of more resilient, less obviously transaction-centric, I guess. But can you talk a little bit about like what you guys need to do sort of operationally or maybe on the investment side to kind of affect that transition in a meaningful way? And if you're successful, just kind of curious what the mix of your revenues kind of looks like over the next 3 years to 5 years? And then, just a follow-up on the commentary around the EBITDA kind of timetable. Is it fair to characterize the potential that it's maybe a bit delayed, is kind of exclusively a function of just kind of what's happening in the housing market, or are there any other factors you'd call out?
Maxwell Simkoff: Sure. Why don't I take those in reverse order and good to hear your voice, Tom. On the first one, the factors that might drive some modest delay to adjusted EBITDA profitability if there is one at all, because we still are quite confident that we have a path to get to our original stated goal. I'd say it would be kind of a function of two things. One you mentioned, which is continued macro pressure, which -- it seems that every time we think we're at a -- kind of a high point of 30-year fixed mortgage rates, they keep going higher. So we want to allow for some continued uncertainty there. And then we also just want to make sure that we have some degree of flexibility as we transition to this new strategy. So those are the two main factors. And that -- transitioning to the new strategy I think helps me answer your first question about what's operationally required to get this strategy live and what does it mean for our long-term outlook. Look, the short answer is, there's really a modest amount of additional operational work required. It's not a lot. And this is part of why we believe this strategy is really core to driving value, not only against our original value proposition of instantly underwriting title insurance using machine learning, but perhaps, even more importantly in alleviating the consumer affordability crisis that we're facing right now. So we effectively have built most of the technology that's required to operationalize this approach, right? We've spent a lot of money over the last 4 or 5 years and a lot of time with our very talented R&D team building and validating this technology. And what we're talking about doing here is really just effectively changing the distribution model, right, where we've had success to some degree in the past, selling it directly to lenders. We now see, frankly, a much bigger and likely more attractive opportunity to work in collaboration, not only with primary mortgage originators, but also with the secondary mortgage market, where you have a smaller group of participants who have a wide reach across thousands of lenders, if you can find the right commercial framework to integrate with their technology platforms and get our working and validated technology distributed to them. So long story short, there's -- we don't see a significant amount of additional operational cost or risk for that matter in getting this deployed. It's really about making sure that we have the right commercial framework, memorialized with not only primary mortgage participants, but secondary mortgage participants as well.
Thomas White: Thank you.
Operator: Thank you. [Operator Instructions] I'm showing no further questions at this time. This concludes today's conference call. Thank you for participating, and you may now disconnect.